Operator: Greetings, and welcome to the Genesis Energy LP Second Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Dwayne Morley, Vice President of Investor Relations.
Dwayne Morley: Good morning. Welcome to the 2022 Second Quarter Conference Call for Genesis Energy. Genesis has 4 business segments. The Offshore Pipeline Transportation segment is engaged in providing the critical infrastructure to move oil produced from the long-lived, world-class reservoirs from the deepwater Gulf of Mexico to onshore refining centers. The Sodium Minerals and Sulfur Services segment includes trona and trona-based exploring, mining, processing, producing, marketing and selling activities as well as the processing of sour gas streams to remove sulfur at refining operations. The Onshore Facilities and Transportation segment is engaged in the transportation, handling, blending, storage and supply of energy products, including crude oil and refined products. The Marine Transportation segment is engaged in the maritime transportation of primarily refined products. Genesis' operations are primarily located in Wyoming, the Gulf Coast states and the Gulf of Mexico. During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides safe harbor provisions -- protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those safe harbor provisions and directs you to its most recently filed and future filings with the Securities and Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of non-GAAP financial measures to the most comparable GAAP financial measures. At this time, I'd like to introduce Grant Sims, CEO of Genesis Energy LP. Mr. Sims will be joined by Bob Deere, Chief Financial Officer; and Ryan Sims, Senior Vice President, Finance and Corporate Development.
Grant Sims: Good morning to everyone, and thanks for listening in. The second quarter was a great quarter for Genesis as our market-leading businesses exceeded our internal expectations, setting the stage for what we believe is significant growth and improving financial performance over the coming quarters and years. These results were largely driven by a return to normal operations and increasing volumes in our offshore segment relative to the first quarter as well as sequential quarterly growth in each of our other segments, which is reflective of the constructive backdrop for each of our specific businesses. Because of our financial performance in the first half and our expectations for the remainder of 2022, we are today raising our full year guidance for adjusted EBITDA to a range of $670 million to $680 million, which includes the $37 million of nonrecurring benefits in the second quarter we outlined in our release. Importantly, we fully expect to exit 2022 with a leverage ratio as calculated by our senior secured lenders at or below 4.5x, which by the way, is the only relevant leverage covenant anywhere in our capital structure and the only calculation that I think is worth analyzing and talking about. As we mentioned in the release, this quarter just ended is the first time we have reported a leverage ratio under 4.5x since the fourth quarter of 2014. As we look ahead to 2023, we expect sequential growth in our full year financial results, driven primarily by visible growing volumes out of the Gulf of Mexico as well as increased volumes of soda ash as we restart our Granger facility in January and bring the full expansion online in the third quarter. Given the fixed cost economics in the Gulf of Mexico and the structural undersupply in the worldwide soda ash market, it's our view, as we sit here today, that virtually any sort of "normal" policy-driven economic slowdown or recession will have a limited, if not negligible impact, on the upward trajectory of our businesses. Accordingly, we do not see any reasonably likely scenario where we do not generate adjusted EBITDA next year in the low to mid-$700 million range, and we would expect to exit 2023 with a leverage ratio, again, as calculated by our senior secured lenders, near or potentially even below 4x, pretty remarkable given the challenges of the last several years. But in our view, it is reflective of the recent credit enhancing transactions we've undertaken, the operating leverage of our existing assets and our identified growth projects. Now I'll touch briefly on our individual business segments. As we mentioned in our earnings release, our Offshore Pipeline Transportation segment benefited from a return to normal operations for our base business in the second quarter, along with increasing volumes from Murphy's King's Quay development, which by the way, continues to meet or even exceed our preproduction expectations. We look forward to King's Quay continuing to run to its design capacity of 85,000 barrels of oil and 100 million cubic feet a day over the remainder of the year. In addition, in June, we started to receive volumes from LLOG's Spruance, the field development, which is a 2 -- a new 2-well subsea tie-back development located in Ewing Bank blocks 877 and 921, that is currently producing approximately 15,000 barrels of oil per day. As a frame of reference, the Spruance development achieved first production in less than 3 years after initial exploratory discovery well was drilled. This is yet another example of an experienced operator, leveraging existing infrastructure, including production platforms and pipelines in the Gulf of Mexico, to develop nearby reservoirs on existing and valid leases on an accelerated schedule. This will continue to be a common theme in the Gulf of Mexico moving forward over the remainder of 2022 and in the many years and decades ahead. BP's operated Argos floating production system is expected to achieve first oil later this year, although we are awaiting an update on when that might be. Nonetheless, with 14 wells predrilled at the Mad Dog 2 field, we continue to expect volumes to ramp to its nameplate capacity of 140,000 barrels of oil per day over the subsequent 9 to 12 months after first production. In addition to Argos, we have knowledge of and actually have contracts in place for another 5 and possibly 6 in-field or subsea tie-back wells that will initiate production over the coming months. Cumulatively, representing approximately 50,000 barrels of oil per day of additional production that will flow through our pipelines, including in all cases, through a 100% Genesis owned lateral prior to transportation to shore through either of our 64% owned and operated Poseidon or CHOPS pipeline system as the case may be. It is important to point out that the operators of these developments and their partners have already spent hundreds of millions, if not billions, of dollars on constructing and installing these existing deepwater production facilities and drilling and completing the original wells in these new development wells. No broader economic slowdown or precipitous plunge in oil prices is going to affect the progression of these developments, including some 160,000 barrels of oil per day we expect in late 2024 and early 2025 from our recently contracted developments, Shenandoah and Salamanca, which we announced last quarter. Also of interest, we are in various stages of commercial discussions with multiple incremental opportunities, representing upwards of 200,000 barrels of oil per day in total that we believe have a high probability of turning into new volumes to be moved through one or more of our pipelines over the next few years. Given this contracted and identified runway of new developments, we could not be more excited about the coming years and decades in the Central Gulf of Mexico. This is especially true given the Gulf's importance to secure domestic oil production, its proximity to Gulf Coast refinery complexes and the fact it has the absolute lowest carbon footprint of any barrel of oil produced, refined and consumed in the United States. Turning now to our Sodium Minerals and Sulfur Services segment. The market for soda ash is structurally short of supply. There's just no other way to describe it or get around that fact. This tightness is fundamentally the result of some 2 million tons a year of supply having been taken offline since 2019. The supply shortage has been exacerbated by multiple production disruptions and force majeure events experienced and declared by other natural producers in the United States over the last 5 or 6 months. At the same time, the demand is exceeding 2019 levels. This is extremely robust demand, especially considering that the automobile manufacturing business worldwide has been in a recession as a practical matter, having produced millions of fewer cars over each of the last several years, primarily because of the lack of computer chips. This supply shortfall in soda ash means prices must rise to allocate scarce tons and ultimately solicit incremental high-cost synthetic production to balance the market at the margin, all at a time when the synthetic producers cost have increased dramatically, owing primarily to rising energy and other input costs. Fundamentally, Genesis Alkali is a major supplier into a soda ash market that is roughly a 35 million ton a year of market, excluding China, that has a long-term normalized growth of around 2% or 3% per annum or some 700,000 to 1 million tons per year. This normally expected growth is, in fact, before the 500,000-or-so tons a year of incremental demand that has been projected by third parties specifically from solar panel and lithium battery manufacturers that hasn't existed at least to this degree in previous years. The soda ash market currently finds itself in a spot where worldwide inventories are approaching historical levels low and have never been so low immediately prior to entering a potential policy-induced cyclical slowdown. By way of example, it has been reported at the end of 2021, Chinese inventory levels were approximately 1.8 million metric tons. And today, they are approaching 300,000 metric tons, which is more than an 80% drop in just 6 months. This provides, in part, the answer to the question of how has China's rolling shutdowns to manage COVID affected soda ash demand and supply dynamics within China. It's fairly obvious to us the net negative effect has been on the supply side of the equation, meaning even fewer tons to potentially seek markets outside of China. All of this has contributed to the fact that our contracted soda ash prices for the third quarter of 2022 will be higher than those in the second quarter. And this is in a macro environment where technically at least the EU and the United States may be or already are in a recession. We fully expect the structural tightness in corresponding high price environment to continue to exist. In large part, independent of changes in broader economic conditions as we discuss price redetermination for our noncontracted sales volumes in 2023 later this year. We spent a lot of time analyzing the last 15 to 20 years of soda ash supply and demand. The primary difference between what we are experiencing now and what we experienced in previous economic slowdowns, including the Great Recession of 2008 and 2009 and the pandemic in 2020, was that heading into those economic cycles, the soda ash market was very well supplied. And thus, any significant reduction in demand triggered a corresponding and somewhat immediate price response, albeit short term. As we pointed out above, market conditions today reflect a very different story with a market that is structurally short of supply. Just as the world is experiencing in the crude oil market, there just isn't any real meaningful incremental supply sitting on the sidelines, just waiting to be turned on and drive prices lower. We believe any pullback in demand would only help further balance the market and not cause any significant downward pressure on prices. In fact, current spot market clearing prices today could fall some 20% to 30% or more heading into next year, and we would still expect our total weighted average realized price to be higher in 2023 than it will turn out to be in 2022. For the full year, we expect our soda ash business to contribute around $200 million of segment margin to Genesis in 2022. This compares to approximately $183 million in 2018, which was the best year since we owned it, as well as its best year ever in 2012 of $192 million when it was owned by FMC Corp. It should be pointed out that legacy Granger capacity was online and contributed around 500,000 tons of soda ash sales in each of 2012 and 2018, while it will effectively contribute 0 volumes here in 2022. Given that context, we are very pleased that our Granger expansion continues to be on schedule and on budget. We expect to be mechanically complete with the expansion facilities by the end of this year. This should allow us to bring our original Granger facility back online as early as in January and be in position to have first production from the expansion facilities in the third quarter of '23. Once expanded, Granger will join our Westvaco facility as one of the lowest-cost soda ash production facilities in the world. When Granger comes online, Genesis Alkali will be the only U.S. soda ash producer with multiple production sites, along with an unrivaled supply chain network from resource on the ground to the customer. We see no other meaningful expansions of production capacity in the ex-China market over the next 3 or 4 years, other than possibly some modest expansions to serve localized markets. It is important to note that even if economic activity were to slow down, and the expected normalized annual growth I mentioned earlier did not occur or otherwise simply delayed, we would not be at risk of not being able to place the Granger tons. At worst, we would displace high-cost synthetic production in the marketplace. And given our competitive cost structure, we still realize very attractive netback values and margins for the Granger tons. Assuming soda ash prices remain in the ZIP code of where they are today and as we have argued we believe there is biased even higher prices, at least certainly for the next 3 or 4 years, we would expect that the Granger expansion project could meaningfully exceed our original forecast for incremental segment margin once fully ramped and online. Our legacy refinery services business once again exceeded our expectation. While we were able to capitalize on certain spot volumes during the second quarter due to our geographically diverse supply and terminal sites, these same competitive advantages will help us absorb and manage certain planned supply reductions over the next quarters as several of our host refineries go through major turnarounds. Regardless of any potential softening in demand in the short term, the long-term outlook for both copper and corrugated paper markets is robust, and we remain confident in our ability to continue to benefit from and capitalize on the long-term fundamentals supporting these end markets. This is especially true in the mining and processing of copper, the largest market for our sulfur-based product given copper's critical importance in the green energy revolution that is rapidly unfolding. Our Marine Transportation segment exceeded our expectations and appears poised to continue its recovery off a cyclical low coming out of the COVID shutdowns. Utilization is at or near 100% across our entire fleet. And in some cases, we are seeing day rates approaching those we commanded back in 2015. There appears to be a growing structural supply shortage of marine equipment given the net equipment retirements over the last few years, along with the increasing cost of steel and extended timeline to build new vessels. At the same time, demand for marine equipment is increasing across the board. We do not believe a reduction in demand due to the compression of crack spreads or other demand responses to a broader economic slowdown or recession will cause a meaningful change in the current supply and demand balance for marine tonnage in the aggregate. Thus, we believe we remain well positioned to benefit from this dynamic across our relatively young fleet in the coming years, quarters and years ahead. Our Onshore Terminals and Pipelines in both Texas and Louisiana remain well positioned to benefit from the tremendous volume growth expected from the Gulf of Mexico over the years ahead. And like I said earlier, none of which will be impacted by any broader economic slowdown or precipitous drop or volatility in crude oil prices. The last 2.5 years have been both interesting and challenging. However, as we sit here today, I've never been more excited about the future of Genesis. The continued performance of our market-leading businesses, combined with our contracted growth projects in the Gulf of Mexico and the Granger expansion, have positioned the company for increasing financial performance in the coming years. This expected growth in earnings and increasing amounts of cash generated by our businesses will provide us with the flexibility and liquidity to comfortably fund our remaining growth capital expenditures as well as the flexibility to manage and further simplify our capital structure in the coming years. The management team and Board of Directors remain steadfast in our commitment to build long-term value for all of our stakeholders, and we believe the decisions we are making reflect this commitment and our confidence in Genesis moving forward. I would like once again to recognize our entire workforce for their efforts and unwavering commitment to safe and responsible operations. I'm proud to be associated with each and every one of you. With that, I'll turn it back to the moderator for any questions.
Operator: [Operator Instructions] Our first question is from Karl Blunden with Goldman Sachs.
Karl Blunden: Congrats on the strong results. I had a question just on the breaking news on the climate spending deal. Solar stocks are up materially today. I'd be interested in your thoughts. Is there a way to quantify the potential benefit to your business? And any context you can provide around that would be helpful?
Grant Sims: Well, again, I think that as we've tried to emphasize, the soda ash business is intimately involved in the energy transition. It is an absolute necessary basic building block of glass that we use, specifically in solar panels. So we anticipate getting tailwinds associated with that. Also, it's also important to note that soda ash provides the carbonate and lithium carbonate, which is the fundamental building block of batteries that will go into electric vehicles as well as battery farms for maintaining and storing and distributing as needed power in the future from -- that is generated from solar and wind power and other applications. So we remain very excited about the incremental demand. And as I said in the prepared remarks, normally demand for soda ash kind of increases with industrial production. And so as such, a little bit of that is potentially, at least the growth could be affected by a slowdown and -- in economic activity. But in concert with this impetus and the tailwinds associated with the green initiatives and the transition to a low carbon marketplace, we feel very well about our businesses and how they're positioned to benefit from that.
Karl Blunden: Right. Just one on the balance sheet. If you take a look at how your bonds have traded, they've really performed really well over the last couple of weeks and have rallied within inside of 10% yields, even the longer-dated bonds. As you think about your priorities over the next year or so for potentially maturity extensions, how should we think about you approaching the 2024 maturities?
Grant Sims: Well, I think that we're looking at a variety. Obviously, that's the near-term maturity in the stack. Also because of that maturity, that's our senior secured facility has a tenor just inside that as the banks don't want to be outside of the maturity of an unsecured note. So clearly, it's our focus. We think that we have ample ways to deal with it, especially in the environment of an increasing performance across our businesses. And I mean, even if you look back 1.5 years ago, all of our banks had a proportional position in a term loan A of order of magnitude $350 million, which is pretty much the same amount as the 24. So we feel we have lots of arrows especially in -- given the trajectory of our businesses that we have lots of financial flexibility to deal with the 24s and by dealing with the 24s then also extend the senior secured facility out into 25 or 26 with a springing maturity depending upon how and when we take care of the 25. So we feel very good about where we are.
Operator: Our next question comes from T.J. Schultz with RBC.
T.J. Schultz: Thanks for all the details on soda ash. Just as it relates to the outlook on 2023 EBITDA in the low to mid-$700 million range, I guess all equal grant, you threw out that 20% to 30% number as sort of a proxy on how maybe elevated prices are right now versus what is contracted. So as we think about that 2023 EBITDA, is that assuming average soda ash pricing 20% to 30% higher next year? Or is there upside to that? Just any context you can provide to help quantify some of the pricing improvements you're expecting to realize next year. Maybe what some impacts these recent force majeure events have had on prices and how we should kind of think price is trending over the next few months?
Grant Sims: Yes. It's a good question, T.J. I'll try to -- the force majeure events, which have occurred in an already tight market, have obviously required spot prices to increase significantly. In our guidance range that we gave, we are being in, at least our view, reasonably conservative in how we view, how the pricing discussions are going to turn out for 2023. We do not expect our overall prices to go up to current market clearing prices simply because of the nature of our contracts with caps and collars. But importantly, my point was that we could have -- even at the margin, we could have a significant pullback in current pricing, and our overall pricing are still going to go up. So the dynamics are all set in place to have price increases. I think that the range, we will be able to tighten up probably on the third quarter call and certainly on the fourth quarter call when 23’s price discovery and negotiations are all set in stone. But -- and then there's a distinct possibility that, that overall range could go up depending upon if the market stays where it's at. But again, we tried to give the -- at least the structural drivers of what's leading to things, and it's really a matter of how we work through our portfolio of laddered contracts, which, as we've publicly said, contained caps and collars, which limit our ability to move everything up, but it's a very favorable environment as we sit here today.
T.J. Schultz: Okay. Makes sense. And then as structurally short as the market is, I guess, it's a little surprising to me that we haven't seen more -- or some of these other kind of natural soda ash expansions or projects coming online similar to the Granger expansion. Is there an outlook that some of those -- are there other kind of natural soda ash expansions that you expect online? Or what's as soon as that some other extensions could occur?
Grant Sims: It's our view, just evaluating publicly available information, and that's both from SEC documentation as well as other investor presentations from -- that are available out there in the public domain that we see little chance of anything of substance being on before as a practical matter. As we said, 2025 and probably 2026, I mean, there could be several hundred thousand tons here or there that could possibly be on a year or so tied to that, so in '24, but nothing is significant. So again, we feel that the dynamics are such that, ultimately, the market signals are going to be the more natural production is going to be wanted by the marketplace. But the reality of the time, especially on greenfield developments, is kind of 5 or 6 years. It's pretty aggressive in terms of just permitting and getting all of this done, plus the fact that this is -- we've seen dramatic increases, obviously, in construction costs. The good thing about Granger was is that we locked all of our costs in prior to the inflationary pressures coming. So the -- even the natural expansions in order to earn a -- that could possibly occur, are going to need prices at or above current levels in order to justify that investment given the underlying inflation associated with the construction. So the timing on -- in one sense, the timing on range or given that we FID-ed it 5 months from COVID, which nobody saw but allowed us to lock in our prices and then we delayed it for a year, but reinitiated and finalized all of our other installation contracts in early 2021 prior to the inflationary pressures, we think was very fortuitous, especially what it would cost in today's dollars, which every other natural expansion is going to face, is today's dollars, not the Granger kind of parameters so.
Operator: [Operator Instructions] There are no further questions at this time. I'd like to turn the call back to Grant Sims for any closing remarks.
Grant Sims: Okay. Again, I appreciate everybody's participation. I know it's a busy week with macro news as well as other earnings. And so a lot of people are going to listen on to the tape. But again, appreciate everybody's interest, and we look forward to talking with everybody again in 90 days or so. So thanks very much.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.